Operator: Hello, and welcome to the Atlas Technical Consultants Third Quarter 2022 Conference Call. Currently, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to your host, Jonathan Parnell, Chief Strategy Officer of Atlas. Thank you. You may begin, Mr. Parnell.
Jonathan Parnell: Good morning, and thank you for joining us. On the call today, I'm joined by our CEO, Joe Boyer; and our CFO, David Quinn. We hope that you've seen our earnings release issued after the market closed yesterday. Please note that we have also posted an investor presentation, which can be found in the Investors section of our website at ir.oneatlas.com. Before we begin, I'd like to remind you that today's call may include forward-looking statements. Any statements describing our beliefs, goals, plans, strategies, expectations, projections, forecasts and assumptions are forward-looking statements. Please note that the company's actual results may differ from those anticipated by such forward-looking statements for a variety of reasons, many of which are beyond our control. Please see our recent filings with the Securities and Exchange Commission, which identify the principal risks and uncertainties that could affect our business, prospects and future results. We assume no obligation to update publicly any forward-looking statements. In addition, we will be discussing and providing certain non-GAAP financial measures today, including adjusted EBITDA, adjusted EBITDA margins, adjusted net income and adjusted EPS. Please see our earnings release and filings for a reconciliation of these non-GAAP measures to their most directly comparable GAAP measure. I will now turn it over to our CEO, Joe Boyer.
Joe Boyer: Thank you, Jonathan, and I appreciate everyone joining us today. I'm excited to represent Atlas’ more than 3,600 employees and presenting to you our record third quarter results. On today's call, I'll provide an overview of the quarter, what we're seeing in our core markets and updates on our strategic priorities, and then David will continue with a more detailed discussion of our third quarter financial results and our outlook for the remainder of the year, then we'll then open up the call for your questions. Our third quarter was another record period for Atlas, revenue, adjusted EBITDA and backlog all reached new quarterly highs. Gross margin remained strong and adjusted EBITDA margin, when excluding pass-through subcontractor costs, reached a record level. Organic revenue growth accelerated to 10%, our best quarterly organic growth performance as a public company. This growth was driven by a combination of factors, including the backlog growth we have experienced over the last several quarters, continued strength in our core transportation and environmental end markets and our ability to cross-sell a broader portfolio of technical services across existing and new customers. Gross margin, excluding subcontractor costs, remained at a healthy level near 60%, due to our ongoing pricing discipline, strong execution and limited impact of inflation on our business model. Adjusted EBITDA margin, excluding subcontractor costs, was a record 20%, highlighting the benefits of scale we are recognizing as we continue to grow Atlas. Our backlog at the end of the quarter reached another record level of $864 million, which is up 14% from last year and up 1% from last quarter, which is especially impressive as our third quarter is our highest revenue quarter of the year. And in addition, we have $133 million of awards pending contract execution. This is down from last quarter as we've converted several larger projects to backlog during the quarter. And as we've noted, the backlog and award figures can be lumpy from quarter-to-quarter, due to the seasonality of our business and the impact of large project wins, which we expect to continue to be a key growth factor for Atlas going forward. Now looking forward, demand in our markets continues to be driven by long-term secular things as our customers invest to enhance their environmental sustainability and to improve the overall efficiency of their existing infrastructure. We are seeing this across all the key end markets we serve, including all forms of our transportation business, government, industrial, commercial, power and education end markets. In our transportation markets, our customers are investing in new infrastructure and in the maintenance and repair of existing assets. We're seeing strong demand in all geographies and across all the transportation subsectors we service, including highways and roads, bridges, tunnels and rail. It's important to note that the technical services we provide are required on nearly every transportation project, whether it's related to materials testing and inspection for asphalt resurfacing structural inspections on existing bridges and tunnels or program and quality management for major capital projects such as regional rail and transit expansions. On our government and education markets, we continue to see demand for our program management and building sciences services. This part of our business addresses the industrial hygiene needs of our clients, including indoor air quality, asbestos management, lead testing and overall project management. You can see several examples of these in our third quarter wins included an asbestos monitoring program with Boston Public Schools and a capital planning services contract with the Orleans Parish school board in Louisiana. We also continue to see solid demand from our industrial, commercial and power customers as they address their environmental compliance needs and work to limit their environmental impacts. We continue to be confident in our position to benefit from the infrastructure investment and Jobs Act once these funds begin flowing to our state and local customers in a more meaningful way. A relevant example is the contract we recently announced with the Georgia Department of Transportation to provide program management services for ongoing and future transportation projects under the local and administered projects program. Atlas will work alongside GDOT and local public agencies throughout the state to manage these crucial projects. Now this is a five-year contract with a maximum $25 million contract value. As dollars from the infrastructure bill begin to flow, we’ll be there supporting putting those dollars to work, not only under this contract, but also through the wide array of other service contracts we have in the state. Additionally, as I've discussed on recent calls, we've been successful in winning work on large programs with both existing and new customers and public and private markets. Since becoming a public company, we have grown the number of contracts in our backlog that are greater than $5 million by over 4 times. Our success in penetrating large programs is broad-based across the end markets with large wins this year in transportation, government, commercial and power end markets. And additionally, a joint venture that we are part of was recently selected to provide program and quality management services to a very large rail project. Those contract details are being finalized, and I look forward to sharing more details on that project in the near future. Expanding our presence on large infrastructure and environmental programs not only improves our visibility into revenue, but also improves our ability to attract top-tier talent and continue to win new work. Important, our scope on these projects remains within our core technical services capabilities, allowing us to maintain a low execution risk profile, which is a fundamental pillar of our business model. We continue to closely monitor the factors impacting the broader macroeconomic environment and how they would impact demand for our services on existing and future projects. As I've noted previously, services we provide to end markets that are more sensitive to higher interest rates and general macroeconomic conditions such as new build commercial construction and real estate transaction are a relatively small piece of our business. Additionally, nearly two-thirds of our business is tied to services that are nondiscretionary in nature, including regulatory compliance, ongoing testing and maintenance of existing infrastructure. And as a result, demand for a significant portion of our business is resilient through economic cycles. Now beyond driving organic growth, we maintained a disciplined capital allocation strategy that is focused on growth through M&A and improving our overall capital structure. Our M&A playbook is based on identifying targets with quality management teams that can enhance or expand our service offerings and/or our regional presidents, integrating them into Atlas and scaling the business across our platform through the cross-selling of those services. We are confident that our M&A strategy will continue to drive outsized growth and improve our leverage ratio. Our M&A pipeline remains robust with a number of proprietary candidates. However, we'll remain disciplined and we'll continue to ensure that any partnership we pursue will be highly accretive to our shareholders, deleveraging and will position Atlas for continued success during all stages of an economic cycle. As we continue to grow, we remain committed to strengthening our capital structure and are constantly evaluating all options that could drive shareholder value. Our leverage remained steady from last quarter and is down significantly from last year, and based on our earnings trajectory, we'll expect to continue deleveraging in the coming quarters. With that, I'll turn the call over to David to provide details on our financial performance and outlook, and then I'll come back with a few closing remarks. David?
David Quinn: Thank you, Joe. Gross revenue of $162.1 million in third quarter of 2022 was up 16.9%, compared to the prior year quarter, driven by 10% organic growth with strong performance in all our service areas, as well as contributions from acquisitions. Gross margin was 47.4%, down modestly compared to last year due to a greater percentage of some contractor costs in the quarter. Excluding subcontractor costs, gross margin expanded 70 basis points to 59.5%, driven by an increased utilization of our workforce, strong project execution and our disciplined pricing strategy. Adjusted EBITDA was $25.8 million in the quarter, up 30.3% from last year and represented 20% of revenue, excluding subcontractor costs. This was an improvement of 240 basis points, compared to last year and a record level for Atlas. The year-over-year increase was mainly due to our stronger gross margin performance and leveraging of fixed overhead costs, which highlights the benefits of scale as we continue to grow our business both organically and through acquisitions. For the third quarter, we produced adjusted net income of $8.9 million and adjusted earnings per share of $0.23 versus adjusted net income of $5 million and adjusted earnings per share of $0.14 in the prior year quarter. The year-over-year increase was mainly driven by improved operating results. Moving on to our cash flow and balance sheet. During the third quarter, cash from operations was a use of $7.7 million, in line with seasonal patterns and compared to a use of $6.2 million in the same quarter last year. Because of the seasonal strength of our business in the third quarter, working capital increased to support our robust revenue growth. Based on our outlook for the remainder of the year, combined with the seasonal patterns of our business, we expect positive cash generation in the fourth quarter and for the full-year 2022. Net debt at the end of the quarter was $513 million, up slightly from $500 million at the end of last quarter. Our bank covenant leverage ratio, which includes cost efficiencies and pro forma EBITDA from acquisitions remains steady at 5.6 times, and down significantly from 6.4% last year after we recapitalized the company in early 2021. Assuming an aggressive path to deleveraging our balance sheet and improving our overall capital structure remains a top priority for Atlas, and we are continually looking at avenues to do so. Moving on to our outlook for the remainder of the year. We are reaffirming the midpoint and narrowing the ranges of our revenue and adjusted EBITDA outlook for 2022. For revenue, we have tightened our guidance range by $10 million on each end and now expect 2022 revenue to be in the range of $590 million to $610 million, an increase of 11.5% at the midpoint as compared to our 2021 results. The narrowed range reflects the strength of our backlog, solid demand trends and the visibility on the timing of work through the end of the year. We anticipate adjusted EBITDA to be in the range of $85 million to $89 million. At the midpoint, this represents growth of 19% and 100 basis points of margin expansion as compared to our 2021 results. We tightened the range by $1 million on each end, reflecting the solid visibility we have into year-end. As Joe mentioned, our third quarter results demonstrate the long-term earnings potential of our business, and we're excited for the growth that lies ahead. With that, I'll now turn the call back to Joe for closing remarks.
Joe Boyer: Thank you, David. We had another strong quarter with record levels of revenue, adjusted EBITDA and backlog. Our results and recent project wins highlight Atlas’ long-term potential and underscore the success that we've had in executing our strategy, integrating acquisitions and growing the business. We remain committed to growing organically and through M&A and continuing to improve our overall capital structure. Demand trends in all of our end markets and across all of our service lines are favorable, driven by robust infrastructure funding programs and long-term secular trends to improve the efficiency and sustainability of our nation's infrastructure and environment. We have established Atlas as a preeminent provider of high-value mission-critical services and are delivering on our strategy we set out when we founded the company. I'm proud to represent Atlas’ many employees and look forward to continuing to drive growth in the future. Thank you again for joining us. Operator, we can now open up the lines for Q&A, please.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question will come from Chris Moore with CJS Securities. Please go ahead.
Lee Jagoda: Hi, good morning. It's actually Lee Jagoda for Chris Moore.
David Quinn: Hi, good morning.
Lee Jagoda: Good morning. Just starting with the labor component, both in terms of your labor and your customers' labor. Can you talk to employee levels in general, turnover at Atlas? And how you view labor availability in terms of is it a gating factor to your growth as you're looking forward?
Joe Boyer: So that was Lee. Less this is Joe Boyer. How are you? Good question, Lee. Let me tell you, as I've always said, I think our industry has always been tight with labor and it has been for a while, that's one of the reasons why we set up an internal recruiting network within our company to help us stay ahead of our resource needs, so we feel good, and we've been able to stay ahead of our resource demands throughout this year and continue to do that and look forward to doing that going forward. So, I can't really speak to our clients' labor, I think they're back to work, back in full force, continuing to execute and deliver on task orders and contracts for us as well, but we feel good about where we are and our labor needs and don't see it as a constricting in finding resource for us going forward.
Lee Jagoda: That sounds great. And then just as a follow-up, just looking at the balance sheet, obviously, you took some actions to protect yourself from the rising interest rates. Can you remind us how that hedge works and in this current environment where you're protected up to?
David Quinn: Absolutely, Lee. This is David Quinn. Thanks for the question. So it's certainly an interesting rate environment out there right now, and we're happy that we jumped on this early. I think the first point I would make is that Atlas’ interest rate exposure at this point forward is fully mitigated through June of 2025, so there's no further downside interest rate risk for us at this point. And how it works is we effectuated the hedge on June 1 with JPMorgan, and it basically caps the variable portion of our interest rate exposure at 3%. So basically, the float on LIBOR. Our debt has a LIBOR floor of 1%, so the flow between 1% and 3% is our exposure. We timed it well, since putting it in place, the Fed has instituted four 75 basis point rate increases. So with the hedge in place, we've really effectively baked in the exposure we have at this point at 3%, the hedge instrument kicked in and since that point has covered anything above that. Right now, we're seeing LIBOR pricing around 4.5%, so the additional 1.5% above 3% is covered. And it's effectively paying out at twice what the cost of the hedge is, so we're pleased with how that has worked for us and pleased that we've contained our risk going forward.
Lee Jagoda: That’s all. Very helpful. Thanks very much, I’ll hope back in queue
Joe Boyer: Thanks, Lee.
Operator: Our next question will come from Brent Thielman with D.A. Davidson. Please go ahead.
Brent Thielman: Hey, thanks. Good morning.
Joe Boyer: Good morning, Brent.
David Quinn: Good morning, Brent.
Brent Thielman: Joe or David, any sense how much of the current backlog you think will convert in 2023 versus what goes out into subsequent years? I know you're going to pick up work along the way through next year, but just trying to get a sense what sort of level of visibility this offers you into next year.
David Quinn: Yes. Sure, Brett. Hi, this is David. I'll take that one. I mean, first, we're just really pleased with the continued growth of our backlog. This is our 10th consecutive record quarter, and we've brought some sizable projects and programs into the portfolio, which really improve our line of sight and predictability on revenues. Typically, we've been running at, call it, 65%-ish, two-thirds of our next 12-months revenue in backlog, and that's currently where we're operating now, maybe a touch higher than that. And we're in the throes of our budgeting and planning process for 2023, we're going to be wrapping that up in the next month. And we can speak to that with even more detail when we report on the year. But it's safe to assume two-thirds.
Brent Thielman: Okay. Really helpful, David. And then I guess, I'm curious with all the new work that's come in, what's the kind of public private customer split now, especially as it sounds like infrastructure work is picking up? And then, Joe, can you just talk -- I mean, the Environmental Solutions area seems like it's seeing a lot of momentum. Can you just talk about a few real key markets of strength behind that side of the business?
Joe Boyer: Sure. So Brent, just overall, our public markets are approaching 60% of our work there, right? So, we have grown our exposure in the public sector for sure. The markets where we're seeing growth, as I mentioned in the call, we're seeing pretty steady across a lot of the end markets, but I'd say, clearly, our transportation markets, end markets continue to show considerable growth, as well as our public markets, and that's anywhere from, as we talked about from our indoor air quality services to program managed services. We're seeing continued growth in education as well and our indoor quality and program management services for education facilities as well. So, I'd say the continued growth in our program management services is coming around the transportation market, our PCQM services line is growing, but probably our fastest. As I said, it's really coming from our transportation end markets.
Brent Thielman: Okay, very good. Thank you.
Operator: Our next question will come from Kathryn Thompson with Thompson Research Group. Please go ahead.
Kathryn Thompson: Hi, thank you for taking my question today. As we look at the inflation curve improving or at least stabilizing somewhat, how has that changed in the bid process? And typically, we've been on the side of having escalators but are you running any instances where you have relief and some of the cost as you get further into projects?
Joe Boyer: Kathryn, let me say, we normally look at escalation clauses in our contracts, particularly on longer-term contracts on some of the multi-year contracts, which typically do allow us to build in escalation clauses for labor or whatever it might be, so that is a common occurrence here. I would say that we have been diligent in and working on increasing our pricing, as you can tell from our margin expansion, we watch it carefully. I haven't seen any changes in, I would say in the bid process, in regards to allowing midterm escalation changes in the contract. But obviously, when task orders finish, we will look for and have continued to look for escalations in our labor rates. I don't know anything I missed on that you want to --
David Quinn: Well, I guess the only thing I would add is just reminding you, Kathryn, that we're 90% cost reimbursable, so it gives us a lot of latitude to exercise our pricing power, which we've done. And quite honestly, we aren't losing a lot of work based on price, so we're going to continue to stretch that and drive margins going into 2023.
Kathryn Thompson: Okay. And a stat that you talked about is that since your IPO projects over $5 million are up 4 times. Where do you see that trajectory over the next three years? And then how do you kind of manage -- what's the ideal balance in terms of project size and visibility because they carry very different type of project management style?
Joe Boyer: Yes. Let me start with that. I think it's difficult for me to say what that mix would look like going forward. We clearly have a strategy, Kathryn, to pursue larger, marquee projects as we built our firm, we’ve added a tremendous amount of technical capabilities to our bench, broader and deeper bench, which allows us to pursue more marquee projects I think. So the data we've shown in our backlog is that we have about 85 projects that are greater than $5 million in our backlog, and that's grown from $20 million that we had in 2019, so that mix will probably continue to grow as we still look at larger projects going forward. I kind of like where it is right now. I think there's just the basis of our company and a number of smaller projects we do, I don't anticipate it being a huge shift from where we are currently. But the opportunities in the pipeline for opportunities that are greater than $5 million still are in our pipeline for opportunities going forward, so I can't really say what I think the ideal mix would be, but I kind of like where we are right now.
Kathryn Thompson: That’s helpful. Thank you.
Operator: [Operator Instructions] Our next question will come from Rob Brown with Lake Street Capital Markets. Please go ahead.
Rob Brown: Good morning. Thanks for taking my question. And nice time in the quarter. Just wanted to get a sense on your view on organic growth trends, had a very strong organic growth in the quarter. How do you see that kind of shaping up for next year? I assume with the backlog growth, it's quite strong. But how do you see organic growth in the next couple of years?
David Quinn: Hi Rob, well, certainly really pleased with where we landed in the third quarter, it’s our highest organic growth quarter since we've gone public, 10%, which puts us at about 7% year-to-date, fits nicely with where Joe and I have guided since the beginning of the year to land the year somewhere between 5% and 7%. And we think we'll land on the upper end of that guidance. I'll defer guiding to next year or beyond, Rob, just for the reason I mentioned, we're in the throes of our planning process right now and we've got about another month's worth of work to do, so, we’ll look forward to talking to you about that at year-end, but we do certainly anticipate the positive trend you've seen over the last two years with us to continue.
Rob Brown: Okay. Great. And then maybe on the M&A pipeline, you talked about activity there. What areas are of interest are you sort of looking at this point? And how is that pipeline kind of shaping up over the next 12-months?
Jonathan Parnell: Hey Rob, good morning. Jonathan Parnell here. We're still looking at some geographic areas where we'd like to fill in certain expertise and we're also evaluating some opportunities that bring technical expertise that we can now bolt on to the platform that we've built and sell nationally to our clients, so it's a little bit of a mix, and we have a lot of deals in the pipeline, so it's very active, a lot of interest in partnering with Atlas. So that's what I would say about our pipeline.
Rob Brown: Okay, great. Thank you. I’ll turn it over.
Joe Boyer: Thanks, Rob.
David Quinn: Thanks, Rob.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Joe Boyer, CEO, for any closing remarks.
Joe Boyer: Thanks very much. I want to thank everybody for joining us today. We appreciate your support of Atlas and look forward to updating you on our progress. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.